Operator: Good day everyone and welcome to the Nucor Corporation fourth quarter and year-end of 2008 earnings release conference call. As a reminder, today’s call is being recorded. Later, we will conduct a question-and-answer session and instructions will come at that time. Certain statements made in this conference are forward-looking statements that involve risks and uncertainties. Although Nucor believes that they are based on reasonable assumptions, there can be no assurance that future events will not affect their accuracy. Some of the important factors that may cause actual results to differ from our predictions are listed in Nucor's SEC filings. The forward-looking statements made in this conference call speak only as of this date and Nucor does not assume any obligation to update them. For opening remarks and introductions, I would like to turn the call over to Mr. Dan DiMicco, Chairman, President and CEO of Nucor Corporation. Please go ahead, sir.
Dan DiMicco: Good afternoon and thank you for joining us for Nucor’s conference call. We greatly appreciate your interest in Nucor. Joining me for today’s call are the other members of Nucor’s senior management team; Chief Financial Officer, Terry Lisenby; Chief Operating Officer, John Ferriola; and Executive Vice Presidents, Keith Grass, Ladd Hall, Ham Lott, Mike Parrish, Joe Rutkowski, and Joe Stratman. After reviewing Nucor’s 2008 performance and ongoing implementation of our growth strategy, we will be happy to take your questions. First and most importantly, I would like to say thank you and job extremely well done to all members of the Nucor team for delivering a record safety performance at our Nucor operations, and to all 22,000 plus members of our team and family for record earnings in 2008. And also impressive was your work keeping Nucor profitable in this difficult fourth quarter. You got the job done in the most challenging economic and steel market conditions experienced in our lifetimes. You have proven again that Nucor’s most significant competitive advantage remains our employees, the right people working together as a team. I also have some good news to share with my teammates. In those years where we had record earnings in the past, Nucor has paid an extraordinary cash bonus. These bonuses are in addition to the payments made under Nucor’s profit sharing plan. I am extremely pleased, and the entire team here is extremely pleased, to announce an extraordinary bonus to be paid on January 30 this year. Thank you, and congratulations for making 2008 such a great year for Nucor. 2008 net income was $1.831 billion. It is Nucor’s fourth record earnings year over the past five years. And comparing 2008 results with the latest cyclical peak in the US economy in 2000, our team has delivered a six-fold increase in Nucor’s cyclical peak earnings power. This level of performance has not just happened and is not simply a result of just writing a cyclical up-term in the economy and the steel markets. It has been driven by our team’s disciplined execution of Nucor’s multi-prong strategy for growing long-term returns on our shareholders' valuable capital. This multi-prong growth strategy gives Nucor tremendous flexibility that allows us to be patient and the go where the growth opportunities are at any point in time. And even though our company is much larger today, our growth opportunities are actually much greater than we were a smaller company pursuing a single growth strategy of Greenfield steel mills and fabrication plants. As always, our objective is profitable growth and not growth for growth sake. Here again are the four prongs. First, Nucor will optimize existing operations. Second, Nucor will continue Greenfield growth where we can exploit significant cost advantages from new technologies and unique marketplace opportunities. Three, Nucor will grow internationally with an emphasis on leveraging strategic partnerships and new technologies. And four, Nucor will pursue strategic acquisitions. Over the past eight years, our work has dramatically expanded and broadened our platforms for generating attractive returns. Our steel mills annual capacity has more than doubled, increasing from 13 million tons in 2000 to more than 26 million tons today. Our value added steel products businesses have nearly tripled their annual capacity, growing from 1.6 million tons in 2000 to 4.5 million tons today. And we have broadened our participation in the steel making value chain with our highly successful expansion into raw materials. In 2000, we had no raw material assets. Today, we our well positioned with Nucor’s Nu-Iron DRI annual capacity of 1.8 million metric tons and David J. Joseph’s scrap process annual capacity of 5 million tons. The first nine months of 2008 were very productive for Nucor in both establishing new platforms and expanding existing long-term growth platforms. In February, we acquired the best of the best in the scrap business with our acquisition of the David J. Joseph Company. In July, we established our initial international growth platform, purchasing a 50% stake in the Duferdofin-Nucor beam and long products joint venture in Italy. In August, our Harris Steel rebar fabrication business acquired Ambassador Steel, expanding our rebar fabrication footprint into the Midwestern, Gulf Coast and Southeastern regions of the United States. And Nucor’s Bar Mill Group began production in the second half of 2008 at our new SPQ Mill in Memphis where we are currently casting 20-inch rounds, which is one of the only plants in the United States to do so. Our growths record tells a story of our team’s skill and discipline in delivering profitable growth. But, even more exciting is that Nucor today is in an unrivaled position of strengths. No one welcomes economic conditions as challenging and disturbing as the current global financial crisis, but we do strongly believe this economic crisis boldly highlights the value of Nucor’s long-standing, conservative financial practices and extremely strong business model. Nucor’s strengths include a strong balance sheet and cash flow, our variable cost structure and our low cost structure, the highly flexible production process, our position as North America’s most diversified steel producer, our commitment to taking care of our customers as evidenced by our strong customer satisfaction ratings, our market leadership positions, our distant focus on profitable long-term growth, and most importantly Nucor’s employees and the Nucor culture. Our confidence is one hardened in the fires of experience, and that experience over many years has let us to build a business model that drives us to operate during the good times the same way necessary to operate and excel in the down times. The bedrock foundation of our business model is our culture. It is a culture based on teamwork, continued improvement, and long-term strategic thinking. In fact, Nucor has a long history of taking advantage of economic downturns to grow stronger and expand our long-term earnings power. It is worth noting that a healthy portion of the profits realized over the past five years have been generated by assets we built, acquired and improved during the last economic downturn experienced during the 2001 to 2003 time period. These highly successful growth initiatives include our entry into the plate market, our acquisition of Auburn Steel, Birmingham Steel, and Trico Steel assets. We believe the current downturn represents unusually attractive growth opportunities to a company that is the Nucor’s unrivaled position, the financial strength. Our objective is to build Nucor an even better and more profitable company tomorrow than it is today. As we look ahead to these opportunities, we recognize the outlook for the US and global economies as very uncertain. None of us know the depth and duration of the downturn that began so abruptly last fall. And it is very unclear whether any of the government actions taken so far will yield any meaningful improvement in the economy and the economic activity ahead. Our hope is that our nations’ leadership will begin to take aggressive action to remedy the imbalances and unhealthy practices that created the current financial crisis. Quite simply, the time is long overdue by about 20 years for policies in the United States that rebuild our energy independence, rebuild our infrastructure, and rebuild our balance in trade would become priority one in Washington. We need to invest in America by creating jobs that add long-term value in these critical areas of energy, infrastructure, and manufacturing. A better and stronger United States economy will be one that actually makes things. By contrast, the economy of the past two decades has been one built around greed, financial manipulation in engineering, excessive leverage and short-term gratification. Going forward, we must also vigorously enforce our nations’ trade laws, rules-based trade is a critical underpinning to global trade. These laws have been enacted to correct abuses by other countries when they distort (inaudible) rules of free trade. For that reason, we applaud yesterday’s decision by the US Supreme Court in the Eurodif case, and its first ever decision in an anti-dumping case, the court unanimously affirmed the US Department of Commerce's ability to prevent circumvention of our trade laws by calling the sale of goods a service. I can assure you, the Nucor team as well as the entire industry will continue to speak out strongly as the debate continues. And as always, we will closely monitor imports into the US for any evidence of countries breaking the law and dumping steel, whether in steel form or fabricated steel form. We owe this to our customers, our employees and our shareholders. We owe it to the United States of America. Our team, obviously, has no control over the direction of the overall economy. But what we do control is still quite powerful; the application of the Nucor culture's can-do attitude and energy level to capitalizing on our company’s competitive strengths. For that reason, my confidence has never been greater that Nucor’s best years are still ahead of us. I will now ask our CFO, Terry Lisenby, to report on Nucor’s financial position. Terry?
Terry Lisenby: Thanks, Dan, and good afternoon to everyone. 2008 record net income of $1.831 billion exceeded our previous record of $1.757 billion earned in 2006, and 2008 net income increased 24% over 2007 earnings. Our 2008 diluted EPS of $5.98 were also a new record, eclipsing the 2006 record of $5.68 per diluted share. 2008 diluted EPS increased 21% over 2007 $4.94 per share. The year-over-year percentage increase in earnings per share was somewhat less than the increase in net income due to secondary stock offering in the second quarter 2008. Fourth quarter 2008 net income of $106 million declined dramatically from the pace established in the first nine months of this year, where our quarterly earnings averaged $575 million. Fourth quarter net income also decreased 71% from year ago quarterly net income of $365 million. The abrupt reversal in all of our markets resulting from a global financial crisis is unlike anything experienced in our careers. Our fourth quarter results included a pre-tax charge of about $105 million for the impairment of non-current assets. The largest component was $85 million for the impairment of the assets of our HIsmelt joint venture in Australia. The HIsmelt process is a blast furnace replacement technology that has the potential to be a hot metal source for electric arc furnaces. In late 2008, production at the HIsmelt plant was temporarily suspended due to depressed market conditions. Given an uncertain outlook for pig iron market and the fact that the technology is not yet fully commercialized, we decided it was appropriate to recognize an impairment of these assets. The team at the HIsmelt facility has made considerable progress since they began their work in 2005. For that reason, we remain optimistic about the long-term potential for fully commercializing HIsmelt technology. The joint venture expects to resume operations when market conditions improve. Another item worth noting in our earnings report is a fourth quarter LIFO inventory credit of $81 million. Approximately $26 million of that credit was at our 51% owned Nucor Yamato structural mill. Full year 2008 results included a LIFO charge of $342 million, of which $52 million were from Nucor Yamato. Nucor’s year-end 2008 LIFO reserve exceeded $900 million, up from a year-end 2007 LIFO reserved of less than $600 million. As Dan discussed, the unprecedented turmoil in global financial markets has highlighted the value of Nucor’s conservative financial policies. Our extremely strong balance sheet positions Nucor not only to weather today’s economic storm, but also to capitalize on attractive investment opportunities that may develop. Consistent with our record established over many years, Nucor will continue to be both disciplined and opportunistic in pursuing profitable growth that rewards our shareholders with attractive returns. Nucor’s liquidity position remains extremely strong. At the close of 2008, cash and cash equivalents exceeded $2.3 billion. We have no outstanding commercial paper and we have no borrowings drawn on our $1.3 billion unsecured revolving credit facility. Year-end 2008 debt totaled $3.275 billion and our debt-to-capital ratio was 28%. The weighted average coupon rate on our debt is less than 6%. After paying off $180 million of long-term debt maturing this year, our next debt maturity is not until 2012. Approximately $2.2 billion of our debt or two-thirds of the total matures after 2017. Nucor has earned the highest credit ratings awarded by Moody’s and Standard and Poor’s. Our credit default spread is the lowest among North American steel producers and one of the lowest among global steel producers. These strong credit ratings give us tremendous flexibility in growing our business and they provide us significant cost savings in managing our business. Cash provided by operating activities for 2008 was a record $2.5 billion. While fourth quarter earnings dropped sharply, our operating cash flow for that period remained very healthy. During cyclical downturns, lower scrap and steel prices reduce the working capital requirements of our business and provide a cushion to cash flow. Consistent with Nucor’s pay per performance philosophy, cash dividends paid to our shareholders continue to grow. In December, our Board increased the base quarterly dividend by 9% to $0.35 per share, effective with the February 2009 payment. Growth in dividends is a result of our team’s success in building Nucor’s long term earnings power. Nucor’s base quarterly dividend has increased more than tenfold since the beginning of 2000 and has more than tripled since the end of 2007. Capital expenditures for 2008 were slightly over $1 billion. Last year’s capital spending was increased by significant outlays for several Greenfield projects. These projects were the SBQ Bar Mill in Memphis, the Decatur sheet mill's galvanizing facility, and the Castrip plant in Arkansas. With construction of these projects substantially completed, our capital spending for 2009 is expected to decline to approximately $400 million. Work also continues on our potential project to build a state of the art iron making facility in either Louisiana or an overseas location. First quarter 2009 conditions remain as challenging as they were in the fourth quarter. The global economy is still paralyzed by the ongoing credit crunch. In addition to weakened end use demand, many customers also continue to reduce their inventories due to liquidity concerns. Through mid-January, American Iron and Steel Institute data showed capacity utilization for US steel producers running at just 43%. With dramatically lower production rates for both the fourth and first quarters, our mills have higher cost scrap and scrap substitute inventories yet to be consumed. These are in units predominantly pig iron and our heat mills were purchase prior to last fall’s collapse in the economy and scrap pricing. Just as we reported in our last quarter’s call, there is little forward visibility on either the economy or our industry. Therefore, we will not provide first quarter numerical guidance at this time. We will give an update of our businesses in March. Today’s economic and steel market conditions are without precedent in our lifetimes. At the same time, we expect them to provide unprecedented opportunities to companies in a position of strength such as Nucor. Our team has never been more excited about our competitive position and our ability to continue generating attractive returns for our shareholders. Thank you for your interest in Nucor. Dan?
Dan DiMicco: Thank you, Terry. I will now ask John Ferriola to report on our operations. John?
John Ferriola: Thanks, Dan. Good afternoon. Let me begin by also thanking our team for delivering a record safety performance at our Nucor operations in 2008. Also, I would like to add my congratulations and thanks to all members of our Nucor team for their hard work keeping Nucor profitable during an extremely challenging fourth quarter. I have been in the steel industry since 1974 and never before have I seen such a rapid and sharp decline in industry volumes. Demand literally disappeared overnight when the financial crisis first unfolded. Here are some numbers that highlight how impressive their work was keeping Nucor profitable last quarter. Nucor’s steel mill utilization rate for the fourth quarter of 2008 was 48%. That was down from a utilization rate exceeding 91% for the first nine months of 2008. And fourth quarter 2008 steel shipments of 3,400,000 tons decreased 37% from the third quarter and 40% from the year ago quarter. Another challenge faced by our team in the fourth quarter was the impact of such an abrupt decline in business activities on our scrap and scrap substitute costs. Extremely low steel mill utilization rates turned what would otherwise be normal scrap inventory levels into well above average inventories. The low mill production rates slowed the pace at which our mills consumed higher cost iron units purchased prior to the dramatic downturn. At our heat mills, this challenge was made more difficult by the fact that their pig iron buys are made with long lead times and are purchased by the vessel load. Although our scrap and scrap substitute inventories remain higher than desired, we continue to enjoy substantial benefit from our highly variable cost structure. Our fourth quarter scrap and scrap substitute’s average usage cost was $430 per ton, decreased $103 per ton from the third quarter and the average cost of our fourth quarter scrap and scrap substitute purchases decreased $226 from the third quarter. I will also emphasize that other significant components of our cost structure are highly variable in nature. These include labor, energy, alloys and other raw materials. In addition to this excellent work, keeping our company profitable in the fourth quarter, I have a number of other significant 2008 achievements by the Nucor team to share with you. Both our bar mill and beam mill teams achieved record earnings for the fifth consecutive year in 2008. Record earnings were also achieved in 2008 by our plate mill group, their fourth record year out of the past five years. And our heat mill group attained record earnings in 2008, their third record year out of the past five years. Our teammates at Nucor’s downstream and raw material businesses also had an excellent 2008. Record annual earnings were reported by our deck, cold finished product, and fastener groups. We are also very pleased with the 2008 performances of Harris Steel and the David J. Joseph Company. In addition to providing Nucor with attractive returns and powerful growth platforms, vertical integration enhances the long-term profitability of our steel mills. The extremely strong returns over the last five years are clearly the result of our team’s long-term focus in executing our growth strategy. For that reason, we are very excited by the progress we made last year in expanding Nucor’s diversified portfolio of growth platforms. These projects include our new Special Bar Quality or SBQ mill in Memphis, currently in its start-up phase; our Decatur sheet mill’s new galvanizing facility, which is finishing the commissioning process and will increase Nucor’s value-added coated steel capacity by one-third; our second caster plant, which has completed construction at its site in Arkansas and will begin production this quarter; our successful integration of DJJ and its subsequent acquisitions, which has grown our annual scrap processing capacity to about five million tons; Harris Steel’s acquisition of Ambassador Steel last summer, which expanded Nucor’s rebar fabrication footprint in the US; our first international platform for Duferdofin-Nucor beam and long products joint venture. As you can see, our focus remains on the future and Nucor’s very attractive prospects for building long-term value for our shareholders. We greatly appreciate your interest in our company. Thank you. Dan?
Dan DiMicco: Thank you, John. At this time, I’d like to open the phone lines for questions.
Operator: Thank you. (Operator instructions) We’ll take our first question from Michelle Applebaum with Michelle Applebaum Research.
Michelle Applebaum – Michelle Applebaum Research: Hi. I guess we’re being silly now.
Dan DiMicco: Well, there’s nobody at the other end of the line. I guess, I can be as silly as I want.
Michelle Applebaum – Michelle Applebaum Research: Okay. Give them a chance. They have to put a list together.
Dan DiMicco: Hello, Michelle.
Michelle Applebaum – Michelle Applebaum Research: Hello, Dan.
Dan DiMicco: What’s up?
Michelle Applebaum – Michelle Applebaum Research: Okay. Talk to me about – you had all these stuff going on. You grew this company from nothing to – where are we, at 14 million tons when you took the job? 12 million tons?
Dan DiMicco: I took over in 2000 and we were somewhere around 11 – a little over 11 tons of shipments, I think.
Michelle Applebaum – Michelle Applebaum Research: Okay. So, you’re the largest American steel company today, which is quite astounding since you had a market cap of $300 million when I started my job. So – okay. So, you did it by building, and then you did it by buying, and then you’ve been building a little bit and I want you to explain to me how – okay, the world has changed. It’s awful, we know that, but how does that impact your growth opportunities in both of those arena? And I want to give us a chance to contemplate what this company will look like in five years. The change though, Dan.
Dan DiMicco: Well, it’s difficult to look out five years and say what this company is going to look like.
Michelle Applebaum – Michelle Applebaum Research: Drop that part. Drop that part. Just talk about the process.
Dan DiMicco: When asked that question in 2000, you would have gotten the same response I just gave you. Because in 2000, while we had a strategy, we had no idea that would take us to the successful heights that our team has achieved in the last eight years. What I can tell you based upon proven track record and our strong financial position as we enter this crises of all crises for our economy both here and around the world, we are in a very strong financial position, to be able to weather whatever storm is in front of us, to do it while maintaining our no layoff practice, and to be in the position to take advantage of whatever opportunities might occur in the marketplace with respect to acquisitions or quite possibly building Greenfield operations at much lower costs than they could have been built just six to nine months ago. So, what we do know is that the opportunities will come. Our team has already sat down and looked at what might be out there. We had $2 billion worth of acquisitions we are ready to execute on when the bottom fell out with the Lehman bankruptcy, back in September, that we’ve put on hold. Those opportunities are still in front of us. We still have conversations going on with all the parties involved back then. And so, we have more opportunity in front of us than we’ve had in some time. Some of it is still unknown. We are in no rush. As we stated in our profits call notes, we are going to be patient. Things will reveal themselves to us as time goes on. Not in a position to talk about where, when, how, or what. We know that they will happen just as they’ve happened before and we know we’re in a great position to take advantage of them, and we will be consistent with our strategic growth strategy in the past. That will not change. Where we will grow over the next five years is the same areas that we’ve grown over the last eight years, including offshore and joint ventures of one type or another.
Michelle Applebaum – Michelle Applebaum Research: I’m not asking the question the right way. But that was a great answer, but it wasn’t quite what I was looking for. You were starting to go there.
Dan DiMicco: I’ll give you one more shot to ask the question, then we’ll move on to the next question.
Michelle Applebaum – Michelle Applebaum Research: Okay, I’ll try it.
Dan DiMicco: I apologize for not answering the question that you are asking.
Michelle Applebaum – Michelle Applebaum Research: I did not ask it well.
Dan DiMicco: Okay. Ask it well.
Michelle Applebaum – Michelle Applebaum Research: You mentioned you could build more cheaply, okay? You had something on its way, are there opportunities to renegotiate the costs of constructions? Are there opportunities for longer-term raw material contracts? And then, on the M&A – that kind of thing, and then on the M&A side, there’s been all this activity from foreign owners here who we read about having severe bank problems at home. So, what’s going to happen – I mean, are some of these things that might’ve been interesting to you a few years ago, but you had your discipline on prices, evaluations? Do you think they could come back and have another shot?
Dan DiMicco: Well, listen. There’s two parts to that question. In terms of anything that we have discussed about building, there certainly will be opportunities and we are currently taking advantage of those opportunities as we speak, on our pig iron project in Louisiana or overseas. As you know, we’re still waiting on the permit to be finalized. It’s well along. It’s actually in the EPA’s hands as we speak. Should be hearing shortly on that. But the situation, as it’s changed, has enabled us to go back in and to renegotiate and reevaluate all the phases of the project, and we have done that quite a bit. We’re still continuing to do that and we’re finding that we have been able to reduce the cost of the project significantly; no, I won't comment on how significantly. As far as the acquisition opportunities go, I’m not talking about the ones that we have been looking at but just what might happen. I’m not going to speculate really, Michelle, as to who might unwind something or not. Certainly, there’s a possibility that companies have gotten themselves over-extended, whether they’d be here or outside the United States, and those are opportunities, depending on how severe things continue throughout the next year too, we may find opportunities there not too different than what we’ve found in ’01, ’02 and ’03. There may be companies that haven’t changed their strategy because of the dramatic decline in the global economic activity that we’ve seen to date. Again, depending on how long that continues and at what severity it continues, which are all unknowns at this time. So, we have not limited ourselves as to what might happen. We are looking at a host of things, but I will not get into the specifics of what we are looking at. Thank you for your questions.
Michelle Applebaum – Michelle Applebaum Research: Thank you for your answer. I guess I’ll have to wait and see.
Dan DiMicco: Next question. Exactly.
Operator: Our next question comes from Kuni Chen with Bank of America.
Kuni Chen – Bank of America: Hi. Good day, everybody.
Dan DiMicco: Good day, Kuni.
Kuni Chen – Bank of America: Dan, if you were President of the United States – no, I’m just kidding.
Dan DiMicco: Thank you for your question.
Kuni Chen – Bank of America: I have a follow-up question on industry consolidation as well. I mean, obviously, during the last down cycle, there were a lot of distressed assets changing hands. I mean, is it your view that we would need to wait things out for the next couple of quarters to see balance sheets that deteriorate or see companies change gears with their strategy before there’s more consolidation? Just want to get a sense as to whether you think there are willing sellers in this environment or we have to wait a little bit longer to see more distressed assets changing hands.
Dan DiMicco: Well, we have said probably several times that in this type of environment where things change so rapidly, they change literally overnight and they change not a little bit, but they changed almost catastrophically in terms of one minute, you’re running at, basically, 100% of capacity; the next minute, your industry is running at 40% of capacity with very little transition. It takes a while for people to – if they are going to find themselves in a difficult position, it will take some time because the industry basically entered into this period after four to five good years; in some cases, great years. And so, we don’t believe there’s going to be any immediate opportunities and whether opportunities develop at all that we might not have been looking at before, will depend on how long this continues and how deep it goes. Our current view on the economy can be pretty much summed up by the fact that we do not give any real guidance numerically for the first quarter. Visibility is very limited, and if there is anybody that is out there speculating as to how 2009 is going to end up is kidding themselves, like a lot of other people. There’s way too much uncertainty out there. The financial crisis has to be resolved. The banking crisis has to be resolved. That’s the President’s and the Administration’s number one responsibility. Number two through twenty is creating more jobs. That simple and that difficult, and there’s a lot of work that needs to be done there and none of that is going to happen overnight. So, we’re looking at a long-term period of malice in the economy, both here and globally. There may be periods where there are improving conditions; we don’t doubt that and we’re hopeful we’ll see some of that in the first quarter. But, it’s just too much uncertainty to speculate about who’s going to become available and when. Our basic philosophy is "time will have to pass us." That is why we said in our prepared comments about being patient throughout this economic downturn, however long it lasts. And it will take time for those opportunities to pop up, if they pop up, and we believe there will be opportunities. And certainly, we had plenty on our plate, which is still there, before this collapse in the financial crisis impacted the economies of the world, including ours.
Kuni Chen – Bank of America: Okay. One quick follow-up if I may, just on the scrap market, obviously, people look at the scrap as a leading indicator of steel prices, but clearly we are not in a normal environment. So just given the low utilization rates that we’re seeing in the industry, is there an ability, in your view, to pass on any increase of some scrap? I just want to get your sense on that as we go to the next couple of quarters.
Dan DiMicco: We’re not going to be speculating on pricing of moves of scrap or steel, but I will say this, if there is demand enough to drive up the price of scrap, there will be demand enough to drive up the price of steel. You can do with that as you wish and you can also try the reverse of that. Thank you for your question.
Kuni Chen – Bank of America: Okay, thank you.
Operator: Our next question comes from Timna Tanners with UBS.
Timna Tanners – UBS: Hi, good afternoon.
Dan DiMicco: Good afternoon, Timna.
Timna Tanners – UBS: I wanted to ask you something I asked a little earlier of another company. I’m really curious on your philosophy of how you think of ramping up capacity and if you could just tell us roughly what you think your breakeven capacity utilization is?
Dan DiMicco: As far as ramping up capacity or ability to ramp up, our philosophy has always been and one of the reasons that we have a no layoff practice is that the electric arc furnace technology and the raw material base for that technology allows us to basically turn on the switch and produce an additional ton of steel at anytime that the orders require. So, we have really the ultimate flexibility and by maintaining our workforce and our plants working, on reduced work weeks, yes, but working and being ready to make an additional time when a new order comes in, we believe that we have the ultimate opportunity to ramp up literally instantaneously on an order by order basis. And so, as demand improves, we will be able to ramp up to meet that demand. And currently, we are running at or above the industry average for capacity utilization. So, there’s lots of room for us to add additional production as there is across the industry. And as far as commenting on what our breakeven analysis is, I’m not going to get into commenting about that because there are so many moving targets on that, whether it be LIFO or one-time charges or what have you. But as you can see, extremely low utilization rates for the fourth quarter, we remain profitable and we expect that to continue.
Timna Tanners – UBS: Okay, great. If I can follow up and if you could talk a little bit more about what you see in terms of end markets for demand, that’d be really interesting. I don’t want to open a big can of worms from it; clearly, if you could talk a little bit about what you’re seeing on the infrastructure side and maybe what you expect there.
Dan DiMicco: Well, the can of worms was opened by the financial community’s collapse and by the things that got us to that point of time over the last 20 years, so you don’t have to worry about opening up a can of worms. It’s been crawling all over the place. As far as the market conditions go, market conditions are lousy everywhere on every product line, and how they improve going forward is going to depend upon how the economy reacts to whatever money is available in the way of credit going forward for people around their businesses and for consumers to consume and for construction of all types to take off again. Certainly, the industry is happy to see that the economists of the world, both in Washington and elsewhere, believe that Infrastructure Bill was one of the best ways to create jobs now and over the next of couple of years, so it’s certainly going to be needed over the next several years, not just over the next six months, and that obviously will be good for steel and all other construction materials. It will be good for the chemical industry. It will be good for the cement industry. It will be good for the transportation and it will be good for everything. It will be an investment in the long-term health and standard living of our country, so we’re happy to see that that’s part of the package. We certainly would like it to see be twice as big as it is from the standpoint of creating jobs and dealing with the sub-par infrastructure that has been allowed to deteriorate over the last 30 years. So, what improvements take place in the markets that are all being impacted severely by the complete disappearance of any significant demand and business activity, anything that happens there with respect to stimulus package will benefit pretty much all product lines that we produce, but there is none out there today that are standing out and saying, “We don’t have a problem.” They’re all having the problems.
Timna Tanners – UBS: Thank you.
Operator: Our next question comes from Chris Olin with Cleveland Research.
Chris Olin : Yes. I just wanted to do a little bit of a follow-up on this stimulus issue. Have you tried modeling or given any thought to how much the current numbers thrown around would equate to in terms of steel demand? Or I mean, what if we even just broke it down to like highway spending of $30 billion equals blank amount of rebar mean. Is there anything you could help us in terms of the way to look at it?
Cleveland Research: Yes. I just wanted to do a little bit of a follow-up on this stimulus issue. Have you tried modeling or given any thought to how much the current numbers thrown around would equate to in terms of steel demand? Or I mean, what if we even just broke it down to like highway spending of $30 billion equals blank amount of rebar mean. Is there anything you could help us in terms of the way to look at it?
Dan DiMicco: I read some place where $1 billion in infrastructure spending equates to the creation of about 35,000 jobs. In terms of the amount of steel, it depends on the type of infrastructure. And as a one-time engineer and scientist whose job it was to solve problems of all types, you have to have the facts before you can begin to solve problems like the one you’re asking me to comment on in terms of how much steel that might be in there. Well, the problem is, we haven’t been given the facts, and so until the facts actually come out and the Congress and Administration do whatever it is they’re going to do, speculation is just that, speculation; and so, I prefer not to get in to that. But to say that $60 billion in infrastructure spend and $825 billion spending package is completely insufficient to deal with the issues that we face as a country would be a gross understatement. And many, many experts believe it needs to be doubled out for the next three or four years, not just for the next 12 months.
Chris Olin : Do you even have a sense of – I know this is going back to question, but I mean, this is like a 10 million tons of impact, 30 million tons. Have you been trying to looking at it anyway in that point of view?
Cleveland Research: Do you even have a sense of – I know this is going back to question, but I mean, this is like a 10 million tons of impact, 30 million tons. Have you been trying to looking at it anyway in that point of view?
Dan DiMicco: We haven’t wasted our time with that, Chris, because from our standpoint, we don’t even know what’s going to happen yet. As you well know, there’s still a lot of discussion taking place amongst the various members of the Congress and the Administration as to what this thing is actually going to end up looking like, so there is no point in trying to figure that out now. Maybe some folks at the American Iron or the AISI or at the American Institute of Steel Construction, the AISC, or the CRSI groups could give you some better clarity on that, some rule of thumb, but we don’t really have that, follow that or use it in our analysis. So, sorry, I can’t help you on that.
Chris Olin : Fair enough, Dan. Thank you.
Cleveland Research: Fair enough, Dan. Thank you.
Operator: Our next question comes from Wayne Cooperman with Cobalt Capital.
Wayne Cooperman – Cobalt Capital: Hey, guys. You got my question already. Thanks a lot.
Dan DiMicco: Thanks, Wayne.
Operator: Our next question comes from Tony Rizzuto with Dahlman Rose.
Tony Rizzuto – Dahlman Rose: Thanks very much. Hi, Dan and team.
Dan DiMicco: Good afternoon, Tony.
Tony Rizzuto – Dahlman Rose: Good afternoon, Dan. It has been sobering to see the capacity utilization rate further decline in the early weeks of this year and I’m wondering, are you sensing that end use demand is continuing to erode or is this more related to voluntary destocking due to credit issues?
John Ferriola: I’ll take a shot that, Tony.
Tony Rizzuto – Dahlman Rose: Okay.
John Ferriola: We think that, certainly, over the last quarter there has been some erosion of end use demand; but we see the bigger issue in the inventories and the destocking of the inventories, both in the service centers and, frankly, in the end user themselves, both in their raw material inventories and in their finished product inventories. So, we are watching those closely. We feel that once we get booted [ph] to stocking issue that we will see an uptake in demand.
Tony Rizzuto – Dahlman Rose: Thanks, John. And then following that up, I mean, when you guys survey your customer base, I mean, are you seeing rising credit issues out there, the counter-party risks? How do you size that up? I know it’s all over the place in terms of your diverse customer base, but can you size it up for us?
John Ferriola: Clearly, we are watching it very, very carefully, okay? We see actually more of a focus on cash conservation, people are paying attention to cash and that is what leading to some of the inventory destocking, but we are watching the credit issue and frankly, speaking for Nucor, we have not seen a major issue as a result of that.
Tony Rizzuto – Dahlman Rose: Okay and then one final question, everybody is trying to seek out the best way, the early indicators. I think in the past you guys have maybe said that the deck and joist business is always a sign to keep an eye on as maybe things might be recovering somewhat, but where would you guide us to look at in terms of where you might see steel demand recover first?
Dan DiMicco: Ham, do you have a comment on that?
Ham Lott: Yes. Tony, I would say that joist and deck are trailing economic indicator and not a leading economic indicator. On the construction side, you might see metal buildings more of a leading economic indicator.
Tony Rizzuto – Dahlman Rose: Okay. All right, thank you very much.
Dan DiMicco: You are welcome, Tony.
Operator: Our next question comes from Michael Gambardella with JP Morgan
Michael Gambardella – JP Morgan: Hey, Dan, good afternoon.
Dan DiMicco: Good afternoon, Mike.
Michael Gambardella – JP Morgan: I would like to know what you are thinking about your share repurchase program now?
Dan DiMicco: We start with some levity and we end with some levity, do we?
Michael Gambardella – JP Morgan: I saw you did buy back – it looked you bought back some shares in the quarter. Now, how did you know the stock price was going to go up?
Dan DiMicco: We have not bought any stock back in the quarter, Mike. I don’t know where you saw that.
Michael Gambardella – JP Morgan: No, I thought I saw some of the share count going down and I saw something in the cash flow statement as well, looked like a share buyback. There are no shares bought back in the quarter?
Dan DiMicco: No, there were none bought back in the quarter. We got people here.
Terry Lisenby: We have the third quarter settlements.
Dan DiMicco: We have settlements in the fourth quarter.
Terry Lisenby: It was three days later, so it tripped over to the very beginning of the fourth quarter.
Michael Gambardella – JP Morgan: Okay.
Dan DiMicco: But we did not make any purchases.
Terry Lisenby: We don’t have any plan. Intentionally in the fourth quarter, they were just the carry over from what was done at the end of third quarter.
Michael Gambardella – JP Morgan: Okay. Now, seriously, when you look at potential acquisitions in this marketplace and you have a policy of not doing hostile deals, is it hard to get a deal done without doing a hostile deal in this environment given how much valuations have gone down on at least publicly traded companies?
Dan DiMicco: Well, I would say at this point in time, it is too early to speculate about that kind on thing. Here again, we believe that if there are companies that are going to be interested in forming partnerships or some folks interested in selling their businesses, whether it be on the scrap side or the steel side or downstream finished product side, these things are going to take more time to work their way through the system. And so, I would not want to speculate as to hostile – we don’t typically do hostile deals. Our preference is not to. We had opportunities to do hostile deals. We have not done them in the past. I don’t see us doing them in the future but we believe that conditions, if they continue like this in our overall economy and we believe there is lots of reasons to believe that that is going to be the case, there will be things that come to our attention from people who would like to partner with Nucor. We have seen that before; we have seen it over the last eight years; we saw it in the bad times; we saw it in the good times; and we know will see that again. So we will just take it as they come.
Michael Gambardella – JP Morgan: And last question, we have seen destocking going on for about four months now, since the Lehman bankruptcy and other problems, how much longer can destocking go on?
Dan DiMicco: They can go on as long as real demand says that they need to. Now, I think there is one point that I will make about the inventory numbers that came out for December. I have to be a little careful because our customers pretty much shutdown December 15. There weren’t as many shipping days in December as people have used in their calculation. That is one thing you may want to think about and take a look at. But, it is all going to depend on where our customers' business is, where our customers' customers are buying from, what their real demand is. And if that continues to go down, you will continue to see destocking. We believe that things have gotten to the point where we are going see people reordering going forward through the first quarter, but to what level is still anybody’s guess.
Michael Gambardella – JP Morgan: All right Dan, and thanks for the comments on the share buyback.
Dan DiMicco: Okay, Mike.
Operator: Our next question comes from Bob Richard with Longbow Research.
Bob Richard – Longbow Research: Good afternoon, thanks for taking our call.
Dan DiMicco: Good afternoon.
Bob Richard – Longbow Research: The $42 million inventory write-down, can you provide a breakdown by product type of that?
Terry Lisenby: No, I’m not really sure where it was. It was in some of our non-LIFO divisions.
Dan DiMicco: Yes, our FIFO divisions.
Terry Lisenby: Yes.
Dan DiMicco: Mostly downstream businesses, probably rebar fabrication would be a good place to find quite a bit of it.
Bob Richard – Longbow Research: Okay, thanks. That helps. The additional $20 million of impairment losses, where would those be over and above those for HIsmelt?
Terry Lisenby: Well, they are mostly smaller things sort of a smattering of different projects.
Dan DiMicco: And none of them were of any significance that would require breaking out a report and go from there all [ph]. There were several within the $20 million total category.
Bob Richard – Longbow Research: Okay, I appreciate it. One quick follow-up, the large LIFO credit, I think you said half of it was Nucor-Yamato. Can we read into that that your assumed carrying value at the end of the quarter was less than what your expectations were?
Terry Lisenby: No. I’m not sure it was – a large part of it was quantity related as much as anything else.
Bob Richard – Longbow Research: That would lead to your volumes were less than what you would had expected at the end of the quarter, right?
Terry Lisenby: Right. Absolutely.
Bob Richard – Longbow Research: So that would – Steel Dynamics talked this morning of weakness in the structural market. That LIFO credit in your structural business would seem to imply the opposite, right? Or can we read that into that?
Terry Lisenby: No, I don’t think you can read that.
Dan DiMicco: No, I think if I've got this right what I heard people just say in answer to your question was that the LIFO credit had to do more with volume issues than with –
Terry Lisenby: Unless you are speculating that we shipped more and therefore our end inventory is a little bit – we had lower scrap inventories, we had lower whipped [ph] inventories, we had lower inventories in a lot of different places.
Bob Richard – Longbow Research: Okay, I appreciate that. So in closing, could you maybe give some color on the relative strength of the beam market compared to the other one?
Dan DiMicco: It all sucks. I know it's a highly technical term, but they are all in bad shape. Joe, you want to give any?
Unidentified Company Speaker: That was as colorful as I could do, Dan. That is a very good assessment of it.
Bob Richard – Longbow Research: Okay, that’s fine. It helps out quite a bit, thanks guys and great quarter.
Dan DiMicco: I will say that, as is always the history, (inaudible) shaped in the product side of the business and that is no different today than it has been for the last 30 years.
Bob Richard – Longbow Research: Okay, thank you very much.
Operator: Our next question comes from Sal Tharani with Goldman Sachs.
Sal Tharani – Goldman Sachs: Good afternoon, Dan.
Dan DiMicco: Good afternoon.
Sal Tharani – Goldman Sachs: Dan, you obviously are going to give guidance at the end of the quarter which you always have done for the past few quarters and also in the past.
Dan DiMicco: Give additional guidance, whether it will be a numerical guidance or not is another matter. But, yes, we will give additional guidance based upon how the quarter has developed.
Sal Tharani – Goldman Sachs: Okay. In the process, you did mention that there is a possibility of a marginally better earnings in the fourth quarter. That is probably is based on what you are seeing, your order rate or order cost spread between scrap and steel. But just wanted to see when you talk about margin better, do you talk about on the numbers after we adjust for the two impairment charges or the impairment charges you took under inventory write-down or is it on top of the reported numbers?
Dan DiMicco: It is looking at the quarter net of LIFO, net of write-downs, net of inventory adjustments. It is the net of all of those basically.
Sal Tharani – Goldman Sachs: And Terry, have you done any calculations, what LIFO projections you will take in the year or would you give that at the time of the next quarter earnings?
Terry Lisenby: We will do it at the update. We are about zero for (inaudible) our LIFO projections.
Dan DiMicco: Yes, we will give our best assessment. As you recall in our last update, we gave an assessment that we would have a charge for the fourth quarter, obviously that did not materialize. It depends on several factors including not just the value of the inventory, but how much inventory, which will depend upon how much business is actually generated in terms of production and shipments and what have you, so it’s a moving target throughout the quarter and the difficulty in the fourth quarter was just how quickly things dropped off in the quarter and forecasting of where things were going to end up. It was impossible and we’re not looking really at a materially better situation in the first quarter in terms of visibility, so we’ll give our best estimates at the update.
Sal Tharani : I mean, it’s funny that we all had, I think everybody in the field [ph] had a LIFO credit and then you came with a charge. You had turned around and now everybody has to put back credit, but that’s not –
 Goldman Sachs: I mean, it’s funny that we all had, I think everybody in the field [ph] had a LIFO credit and then you came with a charge. You had turned around and now everybody has to put back credit, but that’s not –
Dan DiMicco: Such is life, Sal. I mean, I don’t know about you, but everything I’ve ever done hasn’t always turned out the way I thought it would.
Sal Tharani : That’s okay, so it’s better this way. The last question is the industry utilization rate we see reported by AISI, if you compare to where you guys are on it, what do you think of those numbers? I mean, you mentioned that inventory numbers, you ought to be careful when you look at it. We just want to make sure if AISI utilization numbers you think are numbers which should be trusted or you think there is some adjustment needed in those also?
 Goldman Sachs: That’s okay, so it’s better this way. The last question is the industry utilization rate we see reported by AISI, if you compare to where you guys are on it, what do you think of those numbers? I mean, you mentioned that inventory numbers, you ought to be careful when you look at it. We just want to make sure if AISI utilization numbers you think are numbers which should be trusted or you think there is some adjustment needed in those also?
Dan DiMicco: I think the numbers are only as good as those reporting, provide the information, but I do believe people are reporting accurately and I believe those numbers are as best accurate as possible, and so I would not dispute those numbers based upon not only what AISI is putting out or what you’ve read in the press about what people are doing.
Sal Tharani : Thank you very much.
 Goldman Sachs: Thank you very much.
Dan DiMicco: Welcome, Sal.
Operator: Our next question comes from Peter Marcus with World Steel Dynamics.
Becky Hites : Hi, Dan. It’s Becky.
 World Steel Dynamics: Hi, Dan. It’s Becky.
Dan DiMicco: Hello, Becky. I was going to say hello Peter, but you’re definitely not Peter.
Becky Hites – World Steel Dynamics: Can you talk a little about the Decatur galvanized line, the ramp up? Given this market which is obviously difficult, is the outlook for the auto builds in the southeast different that from Detroit? And then also the Memphis ramp up given the environment?
Dan DiMicco: I think the outlook for auto is equally poor, north, south, east or west, and that’s not just confined to the United States or North America. So, John, do you want to comment at all about the Decatur galvanizing?
John Ferriola: Well, we will finish the commissioning of that line and then we will take a look at the market. We will operate to mark the galvanizing line as the market dictates.
Dan DiMicco: Hello? Any other questions?
Operator: Our next question comes from Mark Parr with KeyBanc Capital Markets.
Mark Parr : Hey, Dan.
 KeyBanc Capital Markets: Hey, Dan.
Dan DiMicco: Hi, Mark.
Mark Parr : Hey, just –
 KeyBanc Capital Markets: Hey, just –
Dan DiMicco: Mark, when was it I was up there, that conference you had?
Mark Parr : Pardon me?
 KeyBanc Capital Markets: Pardon me?
Dan DiMicco: When was your conference?
Mark Parr : September.
 KeyBanc Capital Markets: September.
Dan DiMicco: September.
Mark Parr : Yes. That’s right.
 KeyBanc Capital Markets: Yes. That’s right.
Dan DiMicco: (inaudible).
Mark Parr : It was September 10 and boy, things sure changes in a hurry, didn’t they?
 KeyBanc Capital Markets: It was September 10 and boy, things sure changes in a hurry, didn’t they?
Dan DiMicco: They did.
Mark Parr : We’re doing it again this year, so you’re welcome to come back and do a repeat.
 KeyBanc Capital Markets: We’re doing it again this year, so you’re welcome to come back and do a repeat.
Dan DiMicco: Just like you mentioned there, I might not want to come.
Mark Parr : Well, at least the invitation’s open.
 KeyBanc Capital Markets: Well, at least the invitation’s open.
Dan DiMicco: Thank you, Mark.
Mark Parr : Hey, can you give us any color on what you think the February scrap auction might look like? And also, can you talk about how long it might take you to work through excess scrap inventories assuming that the production really doesn’t change much over the next couple of months?
 KeyBanc Capital Markets: Hey, can you give us any color on what you think the February scrap auction might look like? And also, can you talk about how long it might take you to work through excess scrap inventories assuming that the production really doesn’t change much over the next couple of months?
Dan DiMicco: Well, we’re not going to speculate where we see scrap for the February buys unless Keith has something he’d like to throw on the table.
Mark Parr : Keith never has an opinion about anything. You know that.
 KeyBanc Capital Markets: Keith never has an opinion about anything. You know that.
John Ferriola: He is a smart man.
Dan DiMicco: Keith, you are talking about that. I got a feeling I’d know now. Keith, you have anything you'd like to –
Keith Grass: Dan, you summed up very well before. I mean scraps are demand-driven commodity and right now, we are not seeing – you need to see some sustained demand for steel before you could see something dramatic in scrap pricing. We have seen some divergence between export and domestic, but we will still be able to buy the raw material we are requiring at levels discounted to the export type of environment into spring.
Mark Parr – KeyBanc Capital Markets: I have one other follow-up if I could. I know it is getting kind of late because we are past the hour but could you comment – you played a role I think in some of the preliminary planning of the transition in some of the planning that the Obama Team was looking at as far as infrastructure and just their recovery plan. At this point, how receptive do you think they are to people like yourself coming in and encouraging this investment? Do you think it’s really helpful – you would be helpful for the economy?
Dan DiMicco: Well, I haven’t got that phone call from the President yet to actually ask me to come in and confer with them. Well, we have had people both from Nucor and the industry talking with his transition team. My personal role, Mark, occurred through the Department of Commerce Manufacturing Council.
Mark Parr – KeyBanc Capital Markets: Okay.
Dan DiMicco: Where a group of 15 of us representing domestic-based manufacturers from around the country, all different sizes and shapes and types of business, put together a recommendation to the Secretary of Commerce as part of a transition document to the next Secretary of Commerce and the Obama Transition Team. And to be honest with you, I don’t know – I know that the document was put together. I know that it was submitted, and so it’s there available to them. And at this point in time, there is no Secretary of Commerce been appointed yet, but I do believe that information has been available to the transition team.
Mark Parr – KeyBanc Capital Markets: Okay. Terrific. Thanks and congratulations on – it’s a hell of a quarter given the environment that we’re in, so that’s a great job.
Dan DiMicco: Hell is probably an appropriate terminology. Thank you, Mark.
Operator: Our last question comes from Michelle Applebaum with Michelle Applebaum Research.
Dan DiMicco: Hello, Michelle.
Michelle Applebaum – Michelle Applebaum Research: Hi.
Dan DiMicco: What’s up? Hello?
Michelle Applebaum – Michelle Applebaum Research: Yeah, I’m here.
Dan DiMicco: Okay.
Michelle Applebaum – Michelle Applebaum Research: Sorry.
Dan DiMicco: No, we got layers. There’s a lag in here between when you talk and I talk.
Michelle Applebaum – Michelle Applebaum Research: Oh, my god.
Dan DiMicco: What was your question, Michelle?
Michelle Applebaum – Michelle Applebaum Research: On China.
Dan DiMicco: China.
Michelle Applebaum – Michelle Applebaum Research: Chinese steel prices are up 20% since October. I know in October we were all saying, “Okay, this is just kind of a blip, and they’re going to restart and it’s going to go away.” But it’s January, up 20% since October. Baosteel’s announcing steel [ph] price increases for March. China’s half the global market right now. We are 10% of the global market right now. Last year, steel prices rose 70%, 80%, 90% from January to September, and apparently, we were in a recession. I wasn’t sure I thought so. So, tell me this. What do you think can happen if China really is maybe going to start seeing some benefit of their spending and steel demand starts to pick up there again?
Dan DiMicco: Well, certainly, if steel demand gets back to where it was in China, that will be a very good sign for the global steel industry, including our industry here because that means less state-owned steel will be coming into the United States from China. But if you take a look at what’s going on in China, I know they’ve cut back a lot of production. They certainly are more a controlled economy than the United States is, as we are very open in all respects as is demonstrated by the amount of steel that does come in from offshore at any given time, so it’s a little bit difficult to judge exactly what’s taking place over there until we start seeing people bringing back a lot of that capacity that was taken off there, which we could – and pricing continue to go up even in that environment of bringing on more capacity – got a lot of speculators to what that current increases that you’ve been talking about, what those increases might infer for the global economy at this point in time because right now, everything that we see says there’s nothing significantly changed.
Michelle Applebaum – Michelle Applebaum Research: Okay. So, you’re saying it still could be a blip. You don’t want to say, you don’t want to call it a game yet; it’s too early?
Dan DiMicco: As I said, when we start to see them bringing back all the capacity that they shutdown that they plan on bringing back, I’m sure they’ll be some that and hopefully they’ll be some that they won’t bring back because of the (inaudible) on energy consumption or what have you, but until we actually see that and prices going up both, I think that we’re kidding ourselves of thinking it is any significant trend at this point.
Michelle Applebaum – Michelle Applebaum Research: Okay. I’ll watch it carefully.
Dan DiMicco: Thank you.
Michelle Applebaum – Michelle Applebaum Research: Thanks.
Dan DiMicco: Thank you all for your questions. I think that was the last one.
Operator: There are no further questions.
Dan Di Micco: Okay, at this point in time, I’d just like to make a comment. Are all still listening? Okay. Hello?
Operator: You are still live.
Dan DiMicco: Okay, thank you. Again, I would just like to thank all our teammates throughout Nucor and David Joseph and Harris Steel for another great year. Challenge our people to stay safe in these difficult environments and continue on that record safety performance and for it to spread throughout all of the operations side at the Nucor. I know every member of our team will spend the special bonus wisely, carefully, save it, invest it and take care of priority number one, which is you and your families. And thank you all for a great year and dealing with the difficult times that we are in.
Operator: This concludes today’s conference call. Thank you for joining us and have a wonderful day.